Matthew Kelley - Sterne Agee: Jeff Bernstein - AH Lisanti
Andrew Wessel - Sterling Capital Management:
Operator: Good day ladies and gentlemen and welcome to The Bancorp Incorporated, third quarter 2013 earnings conference call. My name is Dave. I will be your operator for today. (Operator Instructions). I’d now like to turn the call over to Mr. Andres Viroslav, Director of Communications. Please proceed sir.
Andres Viroslav: Thank you Dave. Good morning and thank you for joining us today to review The Bancorp’s, third quarter 2013 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer; Frank Mastrangelo, President; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 12:30 p.m. Eastern Time today. The dial-in for the replay is 888-286-8010 with a confirmation code of 65916585. Before I turn the call over to Betsy, I would like to remind everyone that when used in this conference call the words believes, anticipates, expects and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties, which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements, which may be made to reflect events or circumstances after the date hereof or to reflect any current unanticipated events. Now I’d like to turn the call over to Betsy Cohen. Betsy.
Betsy Cohen: Thank you Andres and thank you all for joining us. The third quarter was a quarter in which we continued to move forward in our core businesses in a very impressive way. It was a sold quarter for the standpoint of revenues, which increased 34%, adjusted operating earnings – excuse me, 30% of adjusted operating earnings increased 34% and on the level of earnings per share, the third quarter of 2013 versus the third quarter of 2012, despite an increase in the number of shares outstanding, weighted number of shares outstanding of 15%, increased by 19% and on a nine months to nine months basis by 38%. We are going to discuss other aspects of income and expense and our targeted growth areas and then we will return after that to a more, a complete discussion of the credit metrics. And so, moving forward with the highlights of income and expense, there was in fact a 76% increase in quarterly non-interest income. I think its important to note that it represents not only a significant growth year-over-year, but it represents a diversification of our non-interest income sources, prepaid which has always driven the institution very strongly within the non-interest income category, increased what we consider on our current base an impressive 36%, but we have added to that, other sources of non-interest income and so the total was a 76% increase and we even experienced a 12% increase in quarterly net interest income from the prior year’s third quarter. On the expense side, we look at expense a little bit differently than some and I think we’ve shared with you that our goal has been to move the ratio of non-interest income, particularly during the period of low net interest margin. As a percentage of non-interest expense, up from what it was maybe two or thee years ago in the may be 25% and up to 35%, moving that up to what our goal is of 80% and we are moving in that direction. This quarter 2013, third quarter of 2013 that number was 68%, showing significant progress over the third quarter of 2012, when that percentage was 51%. Expenses were high, higher than, had been anticipated this quarter for several reasons. Among the increase was a significant increase in legal expense, primarily due to our investment in building out the infrastructure of our European operation, which has from prior conversations, we anticipate to be fully operational in the first quarter of 2014. There was an additional increase in commissions attributable to increases in non-interest income. So as non-interest income grows, you will see some increase in the non-interest expense, because those two things are linked in the commission base areas. We continue to focus on our targeted asset growth within the loan portfolio, so SBA loans grew by 85% and security backlines of credit, 27, and small fleet leasing by 21. Another area of asset growth is in the securities area and I’m going to let Paul talk about that.
Paul Frenkiel : Sure. So we continued. In spite of some concerns about tapering, we did continue our securities purchases. We do actually have a significant amount of settlements in October and what we are most focused on is actually the income, securities income and the growth in securities income, which was good within the quarter basis. So we are continuing those purchases and we see that as a very important part of our strategy in terms of deploying our low cost deposits.
Betsy Cohen: Thank you, Paul. Speaking of low cost deposits, I’m going to ask Frank to speak about the lines of business on the, both prepaid and other lines of business on the liability side. Frank.
Frank Mastrangelo: Thank you, Betsy. Pretty typical quarter for us in Q3, 2013. Year-over-year deposit growth standing at about 26%. Q3 is typically a quarter where we’ll run off deposits in our prepaid unit, while some other business lines continue to build. That typically leads to a relatively flat quarter from Q2 and that’s really what this quarter looked like. Excess tax refund deposits continue to flow out in the quarter. Other business units contributed as pre-paid deposits pulled back a little bit and we ended up with a net, almost $25 million increase in total deposits. Q1, Q4 of course being the strong and now Q2 with the tax refund business, the quarters that typically build low cost liability. Beyond that, non-interest income continued to grow very nicely, being propelled by not only the prepaid group, which grew non-interest income 36% year-over-year, but also the CMBS team, which continued to perform very, very well and loan sales contributed significantly to non-interest income growth. Betsy already mentioned the majority of the loan growth in the quarter or new loan bookings was really generated by leasing SBA and a nice increase in our securities backline of credit coming from our wealth management team.
Betsy Cohen: Thank you, Frank. And now I’m going to turn my attention to the credit metrics. I suppose the good news in terms of credit is that the inbound indicator of troubled loans, which is the 30 to 89 day category, was reduced from $18.5 million at the end of the second quarter to $5.4 million at the end of the third quarter. We’ve been very aggressive in trying to move the troubled loan situation through the system on a very proactive way and that has resulted in 90 days plus, being only roughly $200,000. So I don’t know what that loan was, but anyway, essentially cleaned that category out. We have experienced a couple of significant losses in the commercial area. One of the aggregate of $5.3 million, roughly $4 million in total is represented by two credits. One was Michelin stared restaurant that had been in the Philadelphia area for some 30 years and had a dispute with the landlord in a sudden closing and resulted in about a $1.7 million in loss. The second was a chain of coffee shops that you find in railway stations and office buildings and that kind of thing that filed bankruptcy. Whether there will be recovery of that, we don’t know, but this is our best guess of the bankruptcy period, of the bankruptcy result and we maybe over stating it or we may not. We continue to move construction, residential construction loans that were connected to properties that had some kind of restriction on them, whether it be rental or age restriction or whatever have you, through the process into non-accrual and did so again this quarter. From the rest of that construction portfolio, I can report that we have a little higher than usual 38 sales that are pending for the third quarter for a total of about $6 million. So the rest of the property seemed to be moving out. We made a further decision of which resulted in about $1 million charge to reduce the loan to value as a result of very, very current appraisals. So the loan to value on OREO properties from the traditional 90% to 80%, and that charge went through this quarter as well. That is the general shape of what has been the credit this quarter and I’m certainly happy to take any questions. Dave, do you want to open the floor to questions now or open the line to questions?
Operator: Thank you ma’am, yes. (Operator Instructions) This comes from Frank Schiraldi at Sandler O’Neill. Go ahead please.
Frank Schiraldi - Sandler O’Neill: Good morning. I just want to start with credit and then move over to the revenue side. Betsy, you mentioned the residential construction. In the NPAs the flow in the quarter into non-performers I think there was about $20 million NPAs or $20 million higher in this quarter than they were in the previous quarter. Did that mostly reflect construction?
Betsy Cohen: In that movement, no I’m sorry. Lets call it roughly $6 million of that was residential construction and the balance of it was commercial.
Frank Schiraldi - Sandler O’Neill: Now, is that written down? I know there is $9 million in charge-off in the quarter.
Betsy Cohen: Yes, but I thought you were asking about the growth number, yes.
Frank Schiraldi - Sandler O’Neill: So, I mean, in rough terms I guess, the NPAs that came on to books were those written down by say 25% through chare-offs as they went into non-accrual status. What’s that number?
Betsy Cohen: Give me a second and I’ll come back to you on that Frank, okay.
Frank Schiraldi - Sandler O’Neill: Sure. Well let me ask a little bit about the revenue side while you are looking for that Betsy and Frank, you mentioned the CMBS securitization was strong again this quarter. I thought it was $5.5 million in revenue about that last quarter. I don’t know if you mentioned it. What was it in this quarter?
Frank Mastrangelo:  I think it totaled up to about 4.7 this quarter.
Frank Schiraldi - Sandler O’Neill: And our originations I guess, so far into 4Q, thus that you would expect. You could see that sort of stable from here or expectations for that to fall.
Frank Mastrangelo: It’s hard to tell, given how new a business it is. I think we’ve noted in the past the goal was certainly to get to two sustained securitizations per quarter. It’s hard to tell whether we’re there yet or not. We certainly were in Q3 and we are able to sell into, sell twice into two securitizations. We might be there, but it’s difficult to tell whether that’s the case or not right now.
Betsy Cohen:
Frank Schiraldi - Sandler O’Neill: But there I guess there is no reason to assume in this quarter that it was significantly lumpy, a lot higher than what your goals are quarter-over-quarter. I mean you could see this income in 4Q. It wouldn’t be that surprising.
Betsy Cohen: Well, I don’t think that we know that at the moment, whether we know that we’ll have an aggregate of this amount closing in the fourth quarter. It’s not yet knowable.
Frank Schiraldi - Sandler O’Neill: Alright, that’s fine. And then on the prepaid, Frank, I don’t know if you could talk a little bit about gross dollar volumes and then what the margins were in the quarter and maybe if we can look out into 4Q and if its late enough to sort of think about how that might shape out.
Frank Mastrangelo: Yes sure. So GDV for the quarter was just at $7.2 billion, a 23% increase year-over-year. Non-interest income to gross dollar volume was in at a little over 14 basis points, so about one basis point above our traditional average, about a basis point below Q2 and as we discussed last quarter, we didn’t think the 15 from last quarter would be sustained. Although we believe that we should be able to sustain something above the 13 that we had traditionally been delivering. So we are right at the mid-point between the two for Q3.
Frank Schiraldi - Sandler O’Neill: Okay, and I know you haven’t in the past wanted to sort of hazzardly guess that GDV for the full year. Are you in a position now to think about disclosing that?
Frank Mastrangelo: Well, all I say is Q4 is traditionally a strong quarter for us and for the prepaid business and we would expect to continue to outperform market growth.
Frank Schiraldi - Sandler O’Neill: Okay and then market growth is sort of 20%, 25%.
Frank Mastrangelo: Yes, somewhere in that ballpark, probably closer to 20. I do think that there is some indication that at least GPR market growth in the U.S. has actually slowed a bit this year.
Frank Schiraldi - Sandler O’Neill: Okay, and so when you say that head of market growth, the 20% you are talking year-over-year.
Frank Mastrangelo: Yes, that’s right, yes exactly.
Betsy Cohen: We’ve always asked you to look at quarter-to-quarter just as a variable.
Frank Schiraldi - Sandler O’Neill: Right.
Frank Mastrangelo: Yes, because seasonality is consistent year-to-year, but quarter-to-quarter as Betsy mentioned, a high degree of variability.
Frank Schiraldi - Sandler O’Neill: Okay, and then just back to credit, I don’t if you are able to answer that Betsy, but…
Betsy Cohen: Yes, it’s fine. Without adding up each and every number, 25% is an estimate, it’s a good estimate.
Frank Schiraldi - Sandler O’Neill: Okay, and you mentioned that the 30-day and nine day bucket has obviously fallen significantly. Is there anything else that has been added to classified loans in the quarter that might not necessarily be delinquent, but its added to classified and then you expect there could be a potential for that to be added, to fall into non-accrual in the future.
Betsy Cohen: No, I think that the 30 to 89 day number is a good forward indicator without talking about specific classifications.
Frank Schiraldi - Sandler O’Neill: Okay. I mean I don’t know if you have it, but I guess a better way to ask that question, my question would be what did classified assets or classified loan balances do quarter-over-quarter?
Betsy Cohen: Well, I don’t have that number in front of me and I certainly can give it to you offline if you’d like.
Frank Schiraldi - Sandler O’Neill: Yes, thank you. Okay, and then just sort of a broad question on credit. Would you say Betsy, do you think about this quarter sort of the proverbial kitchen sink quarter for credit? Do you expect that this could free up for much lower provisioning and lower charge offs going forward or are you still very concerned on the credit side?
Betsy Cohen: Well, as I have shared with you on an ongoing basis, I have had some concerns on the credit side. We’re trying to proactively, vigorously and aggressively approach those issues as you’ve seen in the last two quarters. We are very hopeful that we’ll have our arms around them very shortly.
Frank Schiraldi - Sandler O’Neill: Okay, and then this $6 million you mentioned in construction properties that are perhaps moving off the balance sheet, those would be coming out of non-accrual status?
Betsy Cohen: No, I thought that your question to me and maybe I answered the wrong question, was of the growth amount of $21 million, which was added to non-accrual, what was represented by residential construction properties; I thought that was your question. And my answer to that question was approximately $6 million, but if you asked a different question, please rephrase it, so I understand it better.
Frank Schiraldi - Sandler O’Neill: No, that was the right answer, that was the question, but then in your prepared comments before the Q&A, I though you had mentioned, you had talked about another $6 million number for residential construction. I thought you had talked about $6 million in residential construction perhaps being sold off the balance sheet, maybe I’m wrong.
Betsy Cohen: No, no, no, no, I’m sorry, you’re absolutely right. What I said was that we generally have in the balance of the residential construction portfolio, we estimate the amount that would be sold off that number. Not net, but on a gross basis, represented by the agreements of sale that we have in hand to close in the next quarter. So we had 38 agreements of sale, aggregating approximately $6 million, which will close in the fourth quarter.
Frank Schiraldi - Sandler O’Neill: Okay. So, I’m sorry, I’m still – but that $6 million right now is in non-accrual status or that is in accrual?
Betsy Cohen: No, that’s in the accrual status, because it’s going private.
Frank Schiraldi - Sandler O’Neill: Okay, and then finally, I don’t know if you can add. Well, I just wanted to ask you about if there is any – given the last couple of quarters has really been this big increase in NPAs. If there was some other impedes for moving these NPAs, for moving these loans from accrual to non-accrual status, if it could be involving a regulatory review and that’s maybe…
Betsy Cohen: Absolutely not. This is our decision. We’ve been very proactive in this area.
Frank Schiraldi - Sandler O’Neill: Okay. All right, thank you.
Operator: Thank you. The next question comes from Matthew Kelley at Sterne Agee. Please go ahead.
Matthew Kelley - Sterne Agee: Hi, good morning.
Betsy Cohen: Hi.
Matthew Kelley - Sterne Agee: Just kind of keep on the same subject here. I think it’s just important to flush all this out. So in very simple, the $20 million of other real estate owned, what’s in there and where is it carried and when will it be gone?
Betsy Cohen: Sure, its carried about 80%, maybe 79% of the very recent appraisals that were done in June, July, August, so I don’t know exactly what months, but very current appraisals. Of that, about $7 million is roughly (inaudible) by a property as to which we have received an offer of significantly higher than that, but where the sale has to be effectuated by the U.S. Marshal. So we are waiting for that to happen, but we are very much well protected and they have sliding recovery. Another $4 million roughly is represent by a property that is in the process of sale and as to which we took a couple of $100,000 additional charge to represent a movement from that 90% that I spoke about to 80%. Those are the two significant properties in the west. Of the properties, we sold about $2 million in properties this year and other things are in process, but those are two significant pieces.
Matthew Kelley - Sterne Agee: But the remaining, the $7 million and the $4 million get you $11 million. The remaining $9 million is carried at that same 80%, 90% and…
Betsy Cohen: 80% is, yes.
Matthew Kelley - Sterne Agee: Okay. So you feel that the $20 million is marked appropriately today?
Betsy Cohen: Yes.
Matthew Kelley - Sterne Agee: Okay, got you. And then just looking at the sequential increase in non-accrual loans, up $7 million. Help us reconcile what those were. Was that for the restaurant?
Betsy Cohen: Yes, I though that I had, but okay let me go back again and I think we can’t talk about it too often, so I do agree with you. I spoke about moving in this high-end restaurant, it got moved in, that’s why if you are talking about growth, it got moved in at about 2.7 and then there was a loss, a charge that was associated with that. So the net of those numbers remains in the net. There was an aggregate of several properties, residential construction properties with a common developer, someone again we’ve done business with over a 25 year period, that were properties that we either had a zoning that had an age or use restriction and although at the time those were put on, they were appropriate, they were no longer appropriate to the market, and so we moved that group in at about $8.5 million I spoke about. We moved in to non-accrual and a commercial component of a relationship, again, a very long-term relationship where the business was in a tailspin as we saw it and so we moved that part in. So I think that take cares of most of it Matt. 
Matthew Kelley - Sterne Agee: That last one, is that the coffee shop business you referenced from your opening comments?
Betsy Cohen: No, no, no, the coffee shop business, we went directly to chare off once he filed bankruptcy.
Matthew Kelley - Sterne Agee: Okay. And then just following up on kind of the big picture reviews on credit that Frank touched upon. After really three quarters of pretty significant charge-off, pretty significant growth in NPAs, big provisions, a drag on earnings, why are we not more confident nine months into this than you sound today?
Betsy Cohen: I think I’m confident, I don’t think I’m willing to give you the precise numbers that you are looking for. So, I think I tried to say that we believe that we are very close to having our arms around the issue, but I know you would like to press me for more specifics and I just don’t feel comfortable giving them to you at this time.
Matthew Kelley - Sterne Agee: All right.
Betsy Cohen: That’s different from not being comfortable with the credit.
Matthew Kelley - Sterne Agee: Okay. But switching gears on the securities purchases, what was the average yield and there was a slow down in the pace of buying versus the first two quarters, year, where is that?
Betsy Cohen: The slowdown in the pace and I thought Paul articulated the reason, but maybe I’ll say it again. We have been short, as a result of our concern that tapering was closer than maybe it appears to be now, but the market was not far off in terms of where we were and so we had a number of maturities in September. We bought into what was a slightly rising market there, but the settlements are not until October. So you see the runoff as of the end of 9/30, but you’ll see in the fourth quarter, an increase in the balance sheet.
Matthew Kelley - Sterne Agee: Okay, got you. On the CMBS sales, were there any SBA loan sales or mark-to-market adjustments in that $4.7 million.
Betsy Cohen: No, I guess no.
Frank Mastrangelo: Yes, those are all mark-to-market and there is some mark-to-market, but the vast majority was CMBS sales.
Matthew Kelley - Sterne Agee: Okay.
Betsy Cohen: All right, it’s a small number then, okay sorry.
Matthew Kelley - Sterne Agee: The question for Frank, the time that you made the initial investments in kind of the license to bring you into the European markets, how much have you spent on the expense line item and when will that expense be off set and that operation be breakeven in your view.
Frank Mastrangelo: Matt, I’ll have to get back to you on what the total is that we’ve invested over the last year. What I can tell you is that most of the, most of the ongoing investments we’re making now, Betsy mentioned that either we are continuing to bolster the “infrastructure” there. That’s primary the licensing of our entity across all 31 countries in the EA zone, so just to provide an update there, we are licensed across 18 today with 13 more still to go. We anticipate that we’ll have those completed round about by probably sometime in Q1 and that the whole European operation is moving along nicely, sometime by mid-14.
Betsy Cohen: By mid-14 you expect to breakeven, is that what you are saying Frank?
Frank Mastrangelo: Yes, in not so many words.
Betsy Cohen: Yes, that’s better.
Matthew Kelley - Sterne Agee: You’ve signed some U.S. program mangers to bring them across the pond?
Frank Mastrangelo: Yes, we have some U.S. program managers signed to come across the pond with verbal commitments from others and we’ve actually won some substantial European deals to-date there. So things are actually moving forward very nicely from a business development standpoint.
Betsy Cohen: I think Matt that this is not unlike the U.S. business and we’ve provided you with charge in the past showing when we actually sign an agreement and when we being to see income, but the expense is large prior to the date of signing the agreement. And the European business is much the same way. There is the lump of expense now, because of some infrastructure investment that from an accounting point of view, unlike a branch we are not able to amortize it over a period of time. So the expense is large in ahead of the pipeline being able to produce income.
Matthew Kelley - Sterne Agee: Last follow up question for Paul. On the repurchases in 3Q that’s settled, but not quite settled yet in October. What was the average coupon?
Paul Frenkiel: They vary, but to the extent that we bought some longer securities, so they were in the 10-year range, where as Betsy noted, we took advantage of some of the higher rates. So the tax equivalent yield on those municipals, were in the 4% range and some of them, they range like between 3% and 4%.
Matthew Kelley - Sterne Agee: Okay, thank you.
Operator: Thank you. Your next question comes from the line of Jeff Bernstein at AH Lisanti. Go ahead please.
Jeff Bernstein – AH Lisanti: Yes, sorry to go back to credit. But I just wanted to follow up on the specific credit that you guys talked about last quarter. I guess you had a multi loan borrower with real estate and receivables relationship. I think it was $10 million plus relationship in total. I think you had provisioned may be $3 million against the receivables and we are working on that, and can you just give us an update on what’s happened there.
Betsy Cohen: I don’t know that there is any reportable news Jeff. I think that we continue to make good progress in that area. But litigation is not a quarter-to-quarter result, not litigation but this kind of movement in terms of collection. We think we are making good progress. We are positioned to collect out the balance but it hasn’t happened yet.
Jeff Bernstein – AH Lisanti: Do you feel like there are any other kind of law, I mean this was one and we talked about this scenario over time, I guess largely because the area down there is just lagged economically, that guys who are kind of holding on, multiple properties that were cross collateralized and paying cash out of one to support the other type of thing and just finally kind of couldn’t do it anymore. Is some of the stuff still lurking out there or is that what we’ve basically scrubbed through and feel pretty good about having that all under our understanding.
Betsy Cohen: We never said that we have all under our understanding, because it’s always subject to ongoing movement, but we think we are making very good progress.
Jeff Bernstein – AH Lisanti: Right, and then just on the pre-paid market, can you talk a little bit about developments in the health savings account area and kind of the private exchanges and what you see developing in that market and any update on kind of the timeframes there?
Betsy Cohen: We could tell you that we would have tested more, but anyway go ahead. Paul.
Paul Frenkiel: We would have defiantly tested more, no question. But seriously, yes, so I think just the reality for this calendar year, with all of the changes coming into effect, even the advent of private exchanges, we don’t have big expectations beyond what’s occurred in previous years for high deductible health policies and help savings accounts. So our belief is that this is probably going to be – based on how other years have unfolded, where there has been massive change and even far less change than I think this particular calendar year and next year. Our expectation is we’re about the same 20% year-over-year growth we’ve seen in the past. I think because that is potentially different from benefit enrollment time 2015. But we really believe that there has to be a year here for consumers to get educated, even consumers coming to private exchanges from larger employers. We think that they are more likely to buy health policies they traditionally had access to from those employers this year, while they get adjusted to private exchanges, while they begin to understand the different types of policies that are there and available to them. In the forward basis, I have a lot more enthusiasm for the private exchanges than I for the public exchanges related to high deductible health policy. While even in those situations consumers are likely to buy the least expensive policies on the exchange from a premium standpoint. I think it’s the individuals coming at that from private exchanges are more likely to open health savings accounts attached to this high deductible health policies. So, that’s just what my gut read of the situation is. I know what we’re suggesting for this calendar year is probably a bit different than some others in the industry are suggesting, but like I said, based on our previous experience as to how these things unfold; I just don’t think this is the year. There’s a big spiked curve for high deductible health policies.
Betsy Cohen: I think in addition to what Frank has said about the consumer behavior, you have to remember that a very significant percentage of the people who could buy of the private exchanges already have employer insurance and so you really have to wait for the employers to be educated as well, to see whether in fact they provided a cash payment to the employees for them to go out and buy on the exchanges, as we’ve seen some large corporations doing already or whether that trend is not eventuate. So I think its not only consumer education, its also employer response.
Jeff Bernstein – AH Lisanti: I agree with everything you guys have said and I guess what I’m a little more interested in at this stage is really with which players have you guys become aligned. There is a handful four or five guys in the kind of insurance brokerage area or benefits management area, who are looking like they are going to be the main sponsors of the private exchanges and can you give us any color on what your relationships are with those folks?
Frank Mastrangelo: Sure, sure. We actually have product on the majority of the major private exchanges we believe will evolve. There’s a number of other large to mid tier brokers that I think are looking to develop their own exchanges and we’re also very focused on having products on those private exchanges as they develop. I think there will be far more private exchanges, one to two years out and actually there even are today with the three to five majors that exist. So again, we’re very, very focused on having product on all of those private exchanges.
Jeff Bernstein – AH Lisanti: That’s great. I appreciate it.
Operator: Thank you. Your next question is from Andrew Wessel at Sterling Capital. Please go ahead.
Andrew Wessel – Sterling Capital Management: Hey, thanks for taking my questions. So, to get back to credit, because obviously I think that’s the focus of the last six months. Just trying to take another stab at this, so NPLs are up 90 bips this year, MK’s (ph) are up 80 bips this year and reserves are at 20 bips this year. Is it really – are you relying on the fact that that 30 to 89 bucket has dropped enough that you know is kind of a much slower increase in your reserves, is going to offset the much higher and saturating increase in your non-performing loans and assets.
Betsy Cohen: Yes, remember that we’ve been very aggressive in the charge offs in addition, so that the balance of the difference, the delta there is partly absorbed by that. So we moved everything through that, through the mark-to-market in essence issues, so I do think so.
Andrew Wessel – Sterling Capital Management: And then just from that standpoint, I mean I think that would, kind of gets sized to what now we are talking about and I think Frank was talking about that as well, is the comfort factor of – you have been putting some pretty substantial charge-offs through and now we’re getting to a point where really your reserves, as a percentages of the loans have inverted versus your NPL of those suspended loans. So that would indicate that the way your looking at the market or the way your looking at inflows are going to be a lot lower, so we should be kind of closer to the end of the whole piece of the pipeline, now that we are all using back from 2009 and 2010, going on 2013 again, but is that a fair way to kind of characterize it?
Betsy Cohen: I really don’t have any comment on that. I think I’ve said what I can say and I appreciate you asking in that way and I can only say, God willing, okay.
Andrew Wessel – Sterling Capital Management: Yes, okay. And then Frank, just I think Matt had already asked and I had two calls, so I had to come back on, but the line item in non-interest income, I think the way you guys break out the Q is really helpful. The way we get it in the financials, in the press release is pretty vague. Can I just get a couple of numbers? The actual prepaid card fee number that’s there, I mean you gave the GDV and you gave the fee amount, but…
Frank Mastrangelo: Oh yes, yes of course. The stored value income for the quarter was a little shy of $10.2 million, yes 36% increase year-over-year.
Andrew Wessel – Sterling Capital Management: Right and then the gain on sale of loans, what was that number, is it 4.7?
Betsy Cohen: 4.7, yes.
Andrew Wessel – Sterling Capital Management: 4.7, okay, I heard that, when I just got my call, okay thanks. And then the merchant credit card processing ACHT, those things have been kind of driving a little bit higher in terms of growth aspects of that. Has that number gone up a lot?
Betsy Cohen: Yes, so that increase of 39% year-over-year was $1 million for the quarter. Just keep in mind much like the prepaid market, Q3 is a traditional week quarter for that business. Q1, Q4 lineup is the strongest.
Andrew Wessel – Sterling Capital Management: Right, right, okay great. And then just kind of August, just do you have around disclosure. Obviously, so many different parts of your business have a lot of different – have a very different multiple, obviously partly driven by the market, so I think when you filed this quarter, especially in a quarter like this, where credits kind of began on the front burner and really the strength of your revenue is getting, I think pushed aside a little bit in the overall discussion.
Betsy Cohen: I thought you’d never say it here.
Andrew Wessel – Sterling Capital Management: But, now we look at it and its like, you know we have to ask. I would think that you’d want to put out your GDV, I think you’d want to put out your prepaid card fee. I mean given those actually the numbers, so people can…
Betsy Cohen: Well, I think we’ve been walking a narrow line in which we don’t want to provide guidance in a growing business, whereas the growth percentage can vary, which doesn’t mean that the business is not growing and are extremely healthy. But where the growth, absolute growth number is derivative to us of other businesses. We’re in the third party business, not driving our own customer base. So it’s a little bit harder to know and we’re cautious therefore about perhaps giving numbers, which appear to be predictive.
Andrew Wessel – Sterling Capital Management: Right. In terms of any sort of guidance, because I think just in terms of the actual hard number itself that you’re going to report in the Q.
Betsy Cohen: Well, I think that that takes – I absolutely agree with you. We should, we’ll look at the format and …
Andrew Wessel – Sterling Capital Management: It would be great too.
Betsy Cohen: Absolutely, absolutely.
Andrew Wessel – Sterling Capital Management: Okay, great. Well thank you for your time.
Operator: Thank you. Your next question is from Matt Kelley of Sterne Agee. Your line is open Matt.
Matt Kelley - Sterne Agee: Yes, any update on your kind of secondary marketing platform to sell funds and limit the size of the balance sheet?
Betsy Cohen: Yes, Matt we said that we’re in testing now and we’re not going to take it live until the first or second quarter of next year.
Matt Kelley - Sterne Agee: Okay. And then when you think about businesses like HSA and prepaid, they are all very deposit heavy and so how do you feel about your ability to kind of manage the size of the balance sheet, the capital constraints of each of those businesses, the capital intensity of each of those businesses I should say, and so do you feel like that’s going to ramp up in time, to be able to really take advantage of some of these fast growing deposit business lines and have the ability to turn this into a higher ROE, less capital intensive business.
Betsy Cohen: You notice that is, what we have told you is our goal and we intend to pursue it. It’s the reason that we spent the last year or so in the development of the deposit sale program. Our goal is to keep the company between the $4 million and $6 million range of a period of time. You see capital aggregating and we hope that we’ll be able to meet our needs in that way. It doesn’t mean that we won’t take advantage of market opportunities. We certainly feel that we should do housekeeping things like taking our stuff back up from the $55 million after last year’s sale to $100 million, but that’s really just putting tools in our tool box. We probably could file an at the market offering which would allow us, on a, as needed basis or as determined basis to take little bits on an ongoing basis on sale, not disturbing the market at all and so we think that there are tools we should put in our tool box, our capital tool box, but we see ourselves generating adequate retained earnings and size confining mechanisms to be able to increase the ROE by being able to control the asset size.
Matt Kelley - Sterne Agee: Just, the first quarter of 2014, that’s the big surge quarter in deposits and kind of the pressure is on capital ratios. Do you feel like you’re in good shape going into that quarter from a capital percentage or…
Betsy Cohen: We do, we do, yes, we absolutely do. Its we’re doing an offering there.
Matt Kelley - Sterne Agee: The $4 million to $6 million asset range, however long that takes, where do you see the securities asset ratio going. In the past I think you’ve always indicated you want that to be a much higher percentage and kind of reduce the credit risk profile. Is that still the plan and where do you see that ratio going as a percentage of assets.
Betsy Cohen: Yes, I think – I’m sorry; I have a frog in my throat. It depends upon the variables of growth in our targeted markets and you’ve seen – although on low denominators you’ve seen significant growth in SBA in leasing and in security back lines of credit, so that if we can continue to achieve significant growth in those areas, it will offset our need to growth the securities portfolio beyond what we think would be ideal. I think there are a couple of interactive pieces. One is the deposit pieces, which forces the asset side up and we’ve shared with you our program feedback within boundaries. There is the absolute growth in dollar number on the targeted asset areas and you see that historically we are trying to continue that kind of growth and the then its just the delta between those two pieces, the growth in the securities portfolio which recognizes the fact that it is very easy within our categories of securities, to reduce that of any time that we have, higher yielding opportunities. Is that an answer to your question?
Matt Kelley - Sterne Agee: Yes, I think so, I think so. I mean what the street wants is clearly reduced credit risks, allowing everybody to focus on the payment…
Betsy Cohen:
Matt Kelley - Sterne Agee: Okay, thanks.
Operator: Thank you. Your next question is from Patrick O’Brien at Fox Asset. Go ahead sir.
Patrick O’Brien - Fox Asset: A question about the prepaid fees and the seasonality there. I’m looking at the last eight or so quarters and I don’t see much of a pattern, except that you know that it’s erratic. A nice growth, but…
Betsy Cohen: But I don’t know if you’re looking at it. I mean we try to help people to look at it in seasonal patterns, because that’s really what the underlying businesses represent. So you really have to look at the growth first quarter ’13 to first quarter ’12 or second quarter ’13; that’s where the pattern emerges.
Patrick O’Brien - Fox Asset: Okay. Just year-to-year rather than sequential.
Betsy Cohen: Absolutely.
Patrick O’Brien - Fox Asset: Just for instance I see in Q2 of last year, there’s a decline from $9 million to $7 million. You don’t see the same seasonal pattern this year. Well, actually I guess there is a slight decline, but not…
Betsy Cohen: Yes, but that really represents the maturity of certain lines of business such as tax refunds and things like that that’s within the current year that we’re just beginning to – not beginning, but we’re in their less developed stages in 2012. So you do see businesses mature that have a second quarter seasonal element. The other thing that I think was a little bit obvious here was that the tax refunds were delayed, Frank what for two weeks, three weeks?
Frank Mastrangelo: Yes, two, three weeks this year pushed further into Q2 than the previous year and interestingly on that topic the IRS has actually already announced that there will be a delay in refund processing in 2014 as a result of the government shutdown, so.
Betsy Cohen: We’ll see that same pattern.
Frank Mastrangelo: We’re warned, yes, that the same pattern will probably emerge.
Betsy Cohen: And I think we haven’t talked about the impact on the bank in terms of the government shutdown. It was very minimal, but there were for example SBA loans that could not get completely processed during that period of time. We think they’ll catch up, but you never know and there we have about $5 million in leases of vehicles to a variety of army bases and federal units and so you may see those go into a – they may go over their cash drop payments, but we may not see them all this quarter, so that’s the other element of impact that we might have from the government shutdown.
Patrick O’Brien - Fox Asset: Okay. Thanks a lot guys.
Operator: Thank you. I would now like to turn the call back to Mrs. Betsy Cohen for closing remarks.
Betsy Cohen: Well, as always I’m very grateful for your complete and probing and very good questions and we look forward to talking with respect to the end of the fourth quarter. Thank you again.
Operator: Thank you Ma’am. Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a great day.